Operator: Welcome to PetMed's Conference Call to Review the Financial Results for the Fourth Quarter and Fiscal Yearend March 31, 2022. [Operator Instructions]. At the request of the company, this conference call is being recorded. Founded in 1969, PetMeds is your trusted pet health expert and America's most trusted pet pharmacy, delivering prescription and nonprescription pet medications and other health products for dogs, cats, and horses direct to the customers. PetMeds' markets its products through national advertising campaigns, which directs customers to order online or by phone and which are intended to increase the recognition of the PetMeds brand name. PetMeds provides an attractive alternative for obtaining pet medication in terms of convenience, price, ease of ordering, and rapid home delivery. At this time, I would like to turn the call over to the company's Chief Financial Officer, Mr. Bruce Rosenbloom.
Bruce Rosenbloom: Thank you. And I'd like to welcome everybody here today. I would also like to remind everyone that the first portion of this conference call will be listen-only until the question-and-answer session, which will be later in the call. Also, certain information that will be included in this press conference may include forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 or the Securities and Exchange Commission that may involve a number of risks and uncertainties. These statements are based on our beliefs as well as assumptions we have used based upon information currently available to us. Because these statements reflect our current views concerning future events, these statements involve risks, uncertainties, and assumptions. Actual results could differ materially from those projected. The company undertakes no obligation to update these statements based on subsequent events. We have identified various risk factors associated with our operations in our most recent Annual Report and other filings with the Securities and Exchange Commission. Now let me introduce our CEO and President, Matt Hulett. Matt?
Matthew Hulett: Thanks, Bruce. Good afternoon and thank you for joining us. This earnings call is the 8-month mark since I started as the new CEO and President of PetMed. Throughout this time, I've remained committed to clarity and transparency with investors and key stakeholders as to the progress of our strategic transformation. To be clear, PetMeds pioneered the online pet prescription business over 26 years ago, and that is a legacy of which everyone at PetMeds is very proud. However, in recent years, growth has slowed and outside of a significant 2020 uptick in sales related to the pandemic, our leadership position has slipped. I continue to believe that PetMed is a terrific company with a talented and dedicated workforce serving a large and loyal customer base. During today's earnings call, we will share with you some early indications regarding the stabilization of our core business and articulation of our new strategy and tangible evidence of operating progress towards the execution of that new strategy. I reiterate that my commitment is to be open and transparent as to how we are engineering the transformation of this iconic company. Today, I'm going to divide my prepared remarks between our core prescription business and our pet health expert strategy, with more time spent on the latter, including some specific steps we have already taken towards executing on this broader strategy. I have a number of key points I want to communicate to you today. So for clarity, I've organized them into 3 themes. The first theme is the stabilization of the core business where the significant revenue declines we've experienced over the past year have begun to moderate. For example, our revenue in the fourth quarter decreased 7.9% year-over-year compared to a decrease of 12.7% for the preceding 9-month period. While January and February had revenue declines in the low-single digits, weather in March had a more material impact on our quarter. Specifically, a cooler March in much of the country delayed the start of the flea and tick season, a season which normally represents a ramp-up in customer demand for us, leading to a slower-than-expected final month of the quarter. We expect sales in this category to rebound as higher temperatures return to much of the country and stimulate a more normal flea and tick and heartworm medication demand from pet parents. Based on historic customer purchase patterns, we expect that the sales impact for this year will be a delay to the start of the seasonal sales rather than a compression or loss of sales over the course of the summer. Adjusted EBITDA for the fourth quarter exceeded our expectations by being down only 8.4% as compared to the 31% decrease reported for the third quarter. Bruce will cover this in more detail, but we achieved these results despite double-digit percent increases in general and administrative expenses year-over-year due to purposeful investments in headcount and infrastructure to stimulate to support our future growth. Notably, we kept our variable marketing spend relatively flat year-over-year. As you may recall, last quarter, we had a [indiscernible] quarter that resulted in unexpected inefficiency in our marketing spend. We have now settled into a good place with our marketing operations. We are actively testing our key customer learnings from last quarter and remain laser-beam focused on activities to grow our new customer number. While we have not fully cracked the code on new customer growth, we are executing on several strategic steps, having just started our new customer segmentation strategy and recently bringing on new team members like our new Chief Marketing Officer. The second theme is the acceleration of our subscription business. Today, I am pleased to report that as of the month of March, 37% of our revenue is recurring revenue derived from our AutoShip & Save subscription program. This is a whopping 41% increase from the previous quarter. As mentioned in our last earnings call, we are introducing 2 new metrics that are strategically important as our business evolves into a subscription e-commerce business. As a result of this evolution, over time, we expect to see an increase in our LTV as the subscription program creates a more reliable recurring revenue stream from our customers. Our new customer count for the quarter is approximately 66,000 and our LTV to CAC for the quarter is 2.5x. The new customer count is calculated using the more specific definition of new customers as being those who have not previously purchased from us within the past 3 years. As I mentioned earlier, we believe LTV to CAC is a more meaningful measure of the marketing value creation versus using our traditional ROAs metrics. We expect to see this LTV to CAC number grow as we migrate more of our returning customers to our AutoShip & Save subscription program and expand the basket size or average order value over the life of our customers. The final theme is the rapid acceleration of our pet health expert strategy, with the first building block of this strategic pillar being telemedicine. On April 19, we announced our initial deployment of an investment and partnership strategy that greatly accelerates our experts in pet health strategy. You may recall on that date, we announced an exclusive partnership with the fastest-growing and industry-leading telemedicine platform Vetster. This is the exciting first of many transactions that will build the strategic pillar of our expert pet health strategy. I hinted at telemedicine during our last call. And to enter this space, we delivered a novel approach to capital allocation that I will talk about a bit later on this call. Now let us dive deeper into the details with the presentation material. As always, we like to feature pictures of our customers and employees' pets in our slide deck. You will see many original pictures throughout this presentation. In fact, this slide features my dog Harry, a PetMeds [indiscernible] since he was 8 weeks old. Let us start with a look at the current market and a perspective on the overall opportunity. As we've covered in our previous earnings calls, PetMeds operates in a very large and growing addressable market. The U.S. pet market is over USD100 billion in annual sales, and it is expected to reach USD120 billion by 2024. The addressable pet medication market where we participate today is approximately USD10 billion and growing rapidly. We are actively working on improving our core business that has been on a decline while also setting our sights on expanding our addressable market into the broader wellness market, which is estimated to be over USD30 billion. Today, we are one of the leading pet pharmacies. PetMeds is also an important part of the strategy of many of the pet platforms and players in the industry. Additionally, as I've learned over these months since I started in the business, there are not many trusted online prescription providers for these pet platforms and players to partner with, which puts us in an enviable position. Our core asset and demonstrated competency on prescriptions will enable us to move much more quickly to execute on our broader pet health expert strategy, as I will elaborate on in a moment. Not only are we operating in a large addressable market, but we also operate in a market that is growing with underlying behavioral trends that are favorable to digital retailers. U.S. household pet ownership has increased over time. And today, 7 out of 10 U.S. households have a pet. COVID has accelerated this trend, and now more than ever, pet parents are keenly attuned to the health needs of their pets. And in a post-COVID world, those pet parents are going to need and will seek out health and wellness care provided by a trusted brand. I believe PetMeds is uniquely positioned to take advantage of this trend. Consumers also now expect everything to be real-time, fast, and digital, a trend which has impacted every industry. As we've seen in other digital e-commerce verticals, the ongoing move towards digitization of retail is accelerating. Today, our addressable market is largely dominated by offline sales, but we see the growing trend to purchase online as very favorable to us. Pet parents see their pets as an extension of their own family, and they are increasingly demanding more healthy pet care options. We see this as a positive trend for PetMeds and an opportunity for growth. Similarly aligned with the trends in human health, pet parents are thinking through the entire spectrum of their pet's care from diet to veterinary services and from infancy to old age as well as reexamining the channels through which they access those products and services. Lastly, the pandemic accelerated the increasing trend for the digitization of healthcare. Specifically in the pet market, regulations related to in-person veterinary visits and prescription fulfillment were temporarily waived for the first time during COVID and these services moved online in unprecedented ways. As I mentioned in our previous earnings call, our team has spent a considerable amount of time conducting research with the industry generally as well as specifically with pet parents. As I noted earlier, in April, we announced an important strategic partnership and investment in pet telemedicine with Vetster. With this groundbreaking partnership, we believe we are enabling the first mainstream pet telemedicine platform and the one that will prove to be an accelerator of widespread adoption of pet telemedicine. It has been over a decade where PetMeds has been a first and fast mover and my commitment is that we will continue to do so. During the last earnings call, we discussed some key PetMed differentiators. I want to reiterate those because they are important, and I believe they provide a real edge for our company's transformation. First, our brand is both widely known and trusted. Our own market research indicates that 55% of U.S. pet parents are aware of the PetMeds brand. Having a strong brand takes years to develop and our customers look to PetMeds as their trusted pharmacy and pet medication expert. Second, we have a strong operational and quality efficiency as a pharmacy. Our customer care integration with our pharmacy is world class which ensures that customers get their products delivered quickly and accurately. Additionally, our vet partners receive quality service delivered through our vet platform. We will be looking to expand our vet network and provide enhanced service to them with new technology delivered through our partnership with Vetster. Our deep experience with the vet community is a significant competitive advantage. As we discussed in our last earnings call, we currently have one of the largest direct-to-consumer vet networks in the online retail space with over 70,000 veterinarians that we've worked with over the company's history. Currently our online vet portal has 17,000 active veterinarians and vet clinics. As I've said in earlier earnings calls, this is a core capability and a unique asset because it enables us to expand our fulfillment capability as we scale our business. Our intent is to drive incremental revenue through a powerful platform offered to our vet partners in the near future. Unlike other online players, we don't views vets as competitors for revenue. We view vets as partners in jointly providing a greater array of pet health services to pet parents. To that end, we will continue working together holistically to improve vet's ability to care for pets. Because of our industry-leading service relationships with them, our prescription medication authorization rates are the highest they have ever been, which speaks volumes to the level of veterinarian cooperation we receive on a daily basis. Ultimately, we believe if we help vet, the profits for both the vets and for PetMed will follow. Our pet pharmaceutical category expertise is something that I view as a towering strength. Many retailers can sell dog food, but few can provide medication and sound advice at scale. As I've said before, being a differentiated pet medication provider allows PetMed to excel in our health and wellness offering and continue to be viewed as pet health experts, especially as the market continues to become even more competitive. PetMeds currently enjoys a close and strategic bond with our many supply partners, and those relationships have developed over time to become even more strategic. We have direct relationships with all of our major suppliers, and we work together closely to effectively market our products to our customer base. Our customer service and overall customer centricity ethos permeates our culture and has demonstrated throughout our team. We provide a 100% satisfaction guarantee to our customers, and we go the extra mile for our customers with truly empathetic and expert service. We don't just have a transactional interaction with our customers. We have built trusting, genuine relationships. Our customers view PetMeds as a trusted pet health expert, and we take that responsibility seriously. I recently had the pleasure of listening to a phone interaction from a loyal customer. Here's what they had to say. "I just want to compliment the two people that I spoke with. I called from the parking lot of the emergency clinic, which is open nights and weekends. I told PetMeds about my situation. The representative that I talked to, named Cindy, bent over backwards to get this prescription to me the next day before the hospital even opened Monday morning. And then I called later that day to make sure that I could get the medication, I spoke to Gus, and I explained the situation and how I had to have this medication, and he said, I'm going to make sure that it's in the mail for you. They were both absolutely wonderful. I can't thank you guys enough. They were just fantastic and so sympathetic, and they understood how I was feeling. It's kind of a cultural rehab. You're not selling at PetMed. This is not like buying food or music. These are our pets, and when they are sick, they are in real need. This is important." Cindy and Gus are perfect examples of our employees' dedication to our customers and their pets' well-being, and I'm delighted to share this story and recognize them for their exemplary customer service. PetMeds has historically been a somewhat low-growth yet high-dividend base company. We are intent, however, upon becoming a higher-growth company, and believe we are in a great position to do that. PetMeds is profitable with a pristine balance sheet. We do not have any debt. We have approximately USD111 million in cash and cash equivalents as of March 31, 2022. And we are cash flow positive. PetMeds is moving much of our business from a transactional direct-to-consumer model to a subscription business. Subscription businesses are clearly compelling business models due to their predictable and stable recurring cash flows. As I mentioned at the beginning of the call, we ended the month of March with approximately 37% of our customers enrolled in ordering via our AutoShip & Save subscription program, and we anticipate that this number will continue to rise. We continue to have a large base of returning customers, which is an indication of the quality of service and the value that we deliver. We are fortunate to have a large base of over 2 million pet parents that have purchased from us over the last two years. We have over 26 years of experience as a pureplay pet pharmacy, fully licensed in 50 states, delivering outstanding service and value. This domain experience is what I would call the more complicated part of the pet ecosystem, which makes our progression into other segments much easier. Our customers just love our brand and service. Our NPS score is over 80, which puts us in the upper quartile along with some of the most beloved brands in the world. Now I'd like to have Bruce to review our financials for the quarter.
Bruce Rosenbloom: Thanks, Matt. During the review of our financial results, we will compare our fourth quarter fiscal quarter which ended on March 31, 2022, to last year's quarter that ended on March 31, 2021. I would also like to highlight that we introduced new non-GAAP financial metrics last quarter, adjusted EBITDA and adjusted EBITDA per share. We decided to include these new metrics because they are key measures used by management and by our Board to evaluate our operating performance, generate future operating plans, and make strategic decisions regarding the allocation of capital, Adjusted EBITDA and adjusted EBITDA per share provide a more accurate picture of our underlying profitability and also highlight the more recent increases in noncash stock-based compensation. Throughout our most recent fiscal year, we've faced a unique situation comparing 2 totally different environments between 2020 and 2021 mostly post-pandemic. As we move forward into our first full fiscal year, the year ending March 31, 2023, with our new marketing partnerships, agencies, and processes, and with many of our highlighted initiatives firmly in place, we expect to be much more efficient with our variable marketing spend with improved results. For the current year, fourth quarter sales were USD66 million compared to sales of USD71.7 million for the same period the prior year, a decrease of 7.9%. While we were disappointed with the overall sales results for the quarter compared to the prior year, we were encouraged by the sales trends we saw in January and February, which were only down in the low-single digits. However, as Matt mentioned earlier, as a result of colder weather this spring, we saw a delay in the flea, tick, and heartworm season, resulting in a decrease in demand for flea, tick, and heartworm control products in the month of March. In contrast, in the prior year, season started in early March. A positive trend to highlight for the quarter was the continued growth of our AutoShip & Save subscription program. Approximately, 37% of our revenue in the month of March was generated from our AutoShip & Save subscription program with some of our more popular brands exceeding 41%, reflecting the alignment of our discount promotional offers, which required enrollment in the AutoShip program. Growing our subscription revenue is one of our main priorities in fiscal 2023, and we expect to see stronger reorder sales as our AutoShip revenue continues to grow. During the quarter we saw decreases in both new orders and reorder sales. New order sales are obviously one area that needs improvement, and we're actively deploying new thinking and initiatives around reenergizing new customer growth. New order sales decreased by 35% to USD4.9 million for the quarter, compared to USD7.4 million to the same quarter the prior year. We acquired, approximately 53,000 new customers in our fourth fiscal quarter ended March 31, 2022, compared to 88,000 for the same period the prior year. Reorder sales decreased by 4.8% to USD61.1 million for the quarter ended March 31, 2022, compared to reorder sales of USD64.2 million for the same quarter in the prior year. For the full year, reorder sales decreased by 8.2% to USD250.4 million compared to USD272.6 million for the prior year. With the increasing AutoShip subscription adoption rates, we will see more opportunities to continue to build our relationship with our loyal customer base. We will also look to continue to improve our reorder sales by marketing to our loyal customer base with increased product offerings and services. For the fourth fiscal quarter, our gross profit as a percentage of sales was 29.4% compared to 28.6% for the same period a year ago. This percentage increase was due to some of our major manufacturers shifting their funding from cooperative marketing rebates to discounting product costs and also the funding of discount promotions related to AutoShip. There may be an opportunity to improve gross margins in fiscal 2023 if the shift to prescription medications continues, and we can grow future sales without the reliance of price promotions. Net income was USD6.1 million, or USD0.30 diluted per share, for the fourth quarter of fiscal 2022 compared to USD6.8 million, or USD0.34 diluted earnings per share, for the same quarter last year, reflecting a decrease to net income of 11%. Net income during the quarter was also aided by 2 tax benefits: a USD196,000 state tax rebate related to 2020 and USD131,000 state rate reduction in 2021, which was recognized in the March quarter. Adjusted EBITDA for the March quarter was USD9.5 million, or USD0.47 on a diluted basis, compared to USD10.4 million, or USD0.52 on a diluted basis, for the same quarter last year, reflecting a decrease to adjusted EBITDA of 8.4%. Adjusted EBITDA and adjusted EBITDA per share add back certain noncash expenditures, including stock compensation, interest income and expense, income taxes, depreciation and amortization. Again, adjusted EBITDA and adjusted EBITDA per share are non-GAAP key measures used by management and our Board to evaluate our operating performance, generate future operating plans, and make strategic decisions regarding the allocation of capital. We will continue to disclose this financial measure in our future filings. As Matt mentioned earlier in the earnings call, adjusted EBITDA for the March quarter exceeded our expectations by being down only 8.4% for the fourth quarter ended March 31, 2022, compared to being down 31% for the third quarter ended December 31, 2021. Over the past 6 months, we have seen double-digit percentage increases in general and administrative expenses year-over-year due to the intentional and strategic incremental investments in both headcount and infrastructure. We will continue making purposeful investments in the business to fuel and support future growth. We also expect to see a continued investment in capital expenditures to the tune of approximately USD5 million in fiscal 2023, of which USD4.2 million is incremental to the business. We had USD111 million in cash and cash equivalents and USD32.5 million in inventory with no debt as of March 31, 2022. The company continues to be committed to returning capital to our stockholders. As such, the Board of Directors declared a quarterly dividend of USD0.30 per share on the company's common stock that will be payable on May 27, 2022, to shareholders of record at the close of business on May 20, 2022. Please note that the declaration and payment of future dividends is discretionary and will be subject to a determination by the Board of Directors each quarter following its review of the company's financial performance. Now I'd like to hand the presentation back over to Matt.
Matthew Hulett: Thanks, Bruce. We embarked on a new journey 8 months ago when I joined the company. In evaluating and planning for our future, we wanted first to reexamine how we saw ourselves as a culture and company, and then we delved into redefining our company's core purpose. We looked at where we excel today in the market and how we consistently solve our customers' pain, and we use that as the starting place for our re-envisioning process. Through that work, we identified a clear market need to have a brand and company focused on being the trusted pet health expert. In many ways, we have served this function for our customers for over 26 years. If you think about it, selling prescription medication represents perhaps the most difficult quarter of the pet ecosystem. It involves both collaboration with and authorization from veterinarians, combined with dispensing controlled substances, and complying with regulatory requirements, et cetera, in short is hard. When you contact us either online or over the phone, we're paying extra attention to your pet's specific health needs with important and customer-specific details like monitoring for drug interactions and ensuring the accuracy of your pet's prescription. We now have the capability to extend those demonstrated competencies much further. To that end, I am pleased to unveil our new vision and mission. Our vision, every pet deserves to live a long, happy, healthy life. Our mission, PetMeds aims to be the most trusted pet health expert by providing incredible care and services that are affordable to the broadest group of pet parents. In order to realize this vision, we need to execute on our mission through the strategy I would like to share with you next. Next slide, please. We are now ready to talk about our long-term strategy with some degree of specifics. We have been hinting at a larger strategy since I started up the business just 8 months ago. PetMed is moving from being just a leading pet medication retailer to a market leader in expert pet healthcare. We have already been given permission by our customers over the last 26 years to be our pet parents' trusted partner in caring for their pets. Pet parents are giving PetMeds permission to do more and they want more. We have taken important steps towards executing on our long-term strategy, starting with the announcement that we made recently in the telemedicine space. The strategic pillars that we will be executing on are: nutrition, medications, wellness, and care, with data both driving and being at the heart of our services. Our recent announcement with Vetster is the first building block of our care offering. For instance, AutoShip is a fantastic program that allows pet parents to improve their pet care through cost savings, convenience, and most importantly, health compliance for their pet. But we think we can do more. In the future, we will be adding more capability and utility to this AutoShip service. Being the trusted pet health expert also means that we are not the same thing to all people. Like I said before, anyone can sell dog food, but that is a far different proposition than being the trusted health expert in consistently solving our customers' individual and unique pet health and wellness needs. On to the next slide, so we can cover this recent partnership and announcement. We are really excited about telemedicine. We just announced a strategic new investment and partnership this quarter, including an exciting set of innovations that we think truly revolutionizes pet care. We announced a partnership with an early-stage venture capital-based company called Vetster. Vetster is a leading startup in the pet space, providing incredible services for both pets and vets. The company is led by a phenomenal team of seasoned and successful entrepreneurs. We are excited to offer what we think is the most advanced telemedicine platform on the planet. With this partnership, PetMeds leaps ahead of the other pet retailers and intermediaries, and most importantly, supports vets and pets like never before. Now I'd like to provide an overview of the deal and deal structure. I've been intimating since I started at the company that we are big believers in telemedicine. This deal is one of the many steps that PetMeds will be taking to cement our place as the go-to expert pet health brand. PetMeds continues to have a strong balance sheet, and we have indicated that we intend to put some of our USD100 million plus capital to work. This deal is evidence of that strategy to not only make smart deals but to show management's willingness to move quickly to turn PetMeds into a growth company. Here is an overview of our deal with Vetster: PetMeds is the exclusive pet medication provider to Vetster, and Vetster is the exclusive telemedicine provider to PetMed; the USD5 million investment in a minority stake at Vetster as part of the Series B round of funding; ability to grow PetMeds' ownership share in the form of performance-based warrants based on specific performance objectives; mutually exclusive long-term agreement to work together to build new distribution channels and never before seen customer experiences; the technology and e-commerce integration provides a powerful combination that has never been introduced in the pet category. We see a panoply of upsides and opportunities, including first mainstream launch. We believe we are the first company to introduce pet telemedicine to the mainstream; connecting over 2 million pet parent customers with over 70,000 veterinarians in the PetMeds network; close the loop, direct-connect access to a telemedicine experience that closes the loop between a pet parent and a vet so that the prescription medication can be prescribed directly to a pet parent, in many cases, without the need of an in-office visit; new revenue streams, this partnership creates new revenue streams within PetMeds and a potential for new revenue streams from traffic driven from Vetster's platform; go-to-market acceleration, unique investment and partnership terms allow pets to accelerate our go-to-market via our new strategy. For example, PetMeds will leverage the Vetster platform to provide virtual vet clinic services embedded with our pet medication and retail platform directly into their platform; climbing up the sales funnel, we believe that offering telehealth will enable us to acquire new customers and to create more incentives for PetMed subscribers. PetMeds customers will be able to get instant care whether this is text or live video chat with your vet or any vet provider through an exclusive vet marketplace access on your smartphone or desktop 24/7; Veterinary alliance, we think that this partnership is a huge win for vets, too. We believe this partnership will allow us to provide attractive capabilities and additional revenue streams to our core vet network and beyond. Oh, and we also plan to dream of a bunch of new innovations that we're not ready to talk about yet. The deal in the short term should do the following to the PetMedx business: attracting new customers; adding more utility to our AutoShip capability will help us attract new customers through adding new and exclusive telemedicine and pet parent medical functionality. This will greatly differentiate us in the marketplace and allow us to not focus solely on pricing and discounts; driving more subscribers, adding more utility, like I mentioned above, will also enable us to increase the acceleration of converting our existing customers to our subscription offering. Today that number is 37%, and we would like to see that number exceed 50% in the full year 2023; driving more prescription business, today the process of getting pet authorization requires our well-honed pharmacy to obtain an authorization from the pet parents' veterinarian. While authorizations are high, we still lose some prescriptions due to the need to physically see a vet. With this technology, customers will be able to connect with their established vet for a virtual visit and subsequently have their prescriptions authorized; additional revenue streams, we will be connecting pet parents to vets, and we will be able to participate on a revenue share basis for each paid virtual vet appointment booked on the PetMeds platform. In addition PetMeds will participate in incremental Rx and OTC revenues that are booked through the Vetster platform. We have long thought that there was more we could do to support vets. PetMeds plus Vetster enables vets and vet clinics to have the flexibility to work whenever and wherever they want. Quality pet healthcare will literally now be at the fingertips of PetMeds pet parents. I have talked about how our network of over 70,000 vets is a strategic asset. We hope to turn that asset into a partnership that helps the vet community by allowing more productivity, flexibility, and more revenue for our vet partners. We've been very intentional about continuing to build our vet relationships. We believe that this is a real gamechanger for vets, pets, and pet parents. Our combined goal is to make quality pet healthcare more accessible, affordable, and available to pet parents and pets everywhere. We believe pet telemedicine will be as big a trend as it is in human healthcare, and we are excited about the possibilities that this partnership will unlock for all of our shared stakeholders. We see a great future in adding more health and wellness services to our business and especially growing our e-commerce subscription base well beyond our current levels. We have a lot left to do and growing our new customers is certainly a huge focus for the company. I hope this level of detail and transparency demonstrates our confidence in the future of the business while also providing some insight into the associated investment costs and activities as they are reflected in our operating results. This ends our prepared remarks. Operator, we are now ready to take questions.
Operator: [Operator Instructions]. The first question is from the line of Erin Wright with Morgan Stanley.
Erin Wright: Great. What are you seeing quarter-to-date in terms of demand trends and the progression of the flea and tick season that you said was off to a somewhat slower start here, but should we anticipate a meaningful bolus here associated with parasiticides in the current quarter? How do you anticipate that playing out from what you're seeing?
Matthew Hulett: Bruce, do you want to take that and I can follow.
Bruce Rosenbloom: Sure. Erin, as we mentioned, during the quarter, we started out very strong. Obviously, once we hit March, we definitely saw a drop in demand unlike what we saw in the previous March 2021. We've also have gotten similar information for manufacturers of the slow flea and tick season. So that's something that I think all of us have seen. In the past, we've gone through delays in season or season coming early in the year. I would say that traditionally, it's a 6-month period. In the past, it has extended. We'll just have to see how it plays out in the current quarter. But yes, we definitely saw that in March, and we'll see how it shakes out for the June quarter.
Matthew Hulett: Yes. The only thing I'd add to that that Bruce said is, we do have a concentration of flea and tick and heartworm. And so we are feeling quite confident that costs were starting to even out in January and February. And so unfortunately, you can't control the weather. We do have category concentration in those areas. So we're confident that we have a very long loyal returning base. So when the Earth heats up, we anticipate that reorders will get back to where we expected them.
Erin Wright: Okay. And then two quick follow-ups here. Given some of the initiatives around advertising and the spend for the quarter, how should we be thinking about advertising spend in fiscal 2023? Should we anticipate a step up from here as a percentage of sales in the coming quarters? I guess, help us frame that in terms of how you're thinking about advertising spend. And then in terms of the telemedicine partnership, can you describe a little bit more on the financial contributions for you? And will this be material for you near term?
Matthew Hulett: Yes, I'll take the last question first and then throw it over to Bruce. I'm thinking on the telemedicine piece, it is a pretty exciting opportunity since we are in the prescription space as a core offering to consumers. Obviously, we want to be in front of that trend of having consumers literally at their fingertips, have the ability to connect to a vet either on their desktop or on their mobile device and have prescriptions delivered to their doors. We aren't really guiding to how big this opportunity is. It's really, really new. The VCPR relations which connect the consumer with a vet are relatively new as well. We see the regulations loosening over time and that we see more demand for consumers. So we're not really guiding, per se, and we love to excite folks on the upside as this partnership develops.  Partnerships are very hard to forecast, as you know, but we're very excited about it. And we think this is the best team in the pet telemedicine space in Vetster. This is a seasoned team that we've started to get to know very well. They come highly recommended from the travel space and they know marketplaces extremely well and have had multiple successes of building up marketplaces. So we're highly confident that this is the right team and product and business model for us to put our bet around and to start growing demand around. On the other comment, Bruce, do you want to take that and I'll follow?
Bruce Rosenbloom: Sure. As far as advertising, so for the quarter advertising was down about USD800,000 or about 20% from where we were last year. And I would say that we were somewhat on target to spend somewhat similar to where we spent in the previous year. Obviously the slow start to season we pared back our spend due to that, and we expect to spend probably similar to what you saw last year, but we expect to be more -- much more efficient with our spend. And if there's areas that we can lean in that are producing a much better return, obviously, we'll take advantage of that when we see it.
Matthew Hulett: Yes. The only thing I'd add to that to -- and it's exactly right. We want to make sure we were spending money when there was demand because consumers were paring back flea and tick and heartworm. We decided not to accelerate that. The other thing that we decided to do is introduce this LTV to CAC number. And the 2.5x that you saw, that could change over time as we start doing front and invest. We want to be very smart about how we scale our demand. 2.5x may be on the high end. It could be lower than that. It just depends on the types of consumers that we're finding and where we think there's a spot to invest. So that gives you some direction of where we're going. But it should be higher than you've seen in the past, but we're going to be very performance-oriented around -- the 2.5x is a pretty efficient LTV to CAC. I think that might move around a little bit.
Operator: And the next question comes from the line of Corey Grady with Jefferies.
Corey Grady: I wanted to follow up on the new marketing strategies and partnerships. And maybe ask you to spend a little more time talking about areas where you're seeing signs of validation in terms of return and areas where you are continuing to test.
Matthew Hulett: Thanks for the question. I'll jump on this one. Yes, again, I want to remind you, and I think you know this, after our discussions that much of what we've done to date has been really building kind of a basis, a platform for growth. As you can recall, last quarter we had some inefficiencies. We implemented new marketing operations technology, new marketing partners, and we've been really testing a lot. We've been testing new customer segments that are younger and more digital native. And I think the headline is we're seeing a lot of interest in pet health expert strategy, standing for something that's more positioned around your pet's health versus kind of a broader play with a everything store for a pet, really consumers are responding to that. So we're going to adjust our positioning and our creative around that game, and we're starting to see some early positive signals around that. And as that starts to scale, I think our media mix will scale. I think the way we spend our dollars will definitely scale, and we'll scale profitably. I would like to point out there's 1,000 out of 3,000 -- Russell 3000 companies are not profitable. We tend to grow profitably and find net new customers. And like I said on the earnings call, really customers understand that PetMed stands for pet healthcare. And I think that's a really exciting proposition for customers.
Corey Grady: Got it. That's helpful. And then I was wondering for my second question, if you could quantify the sales impact from the delay of flea and tick season. And then how did results for the quarter in terms of sales composition, reorder versus new order, how did that compare to your expectations coming into the quarter?
Matthew Hulett: I'll start and then, Bruce, do you want to finish?
Bruce Rosenbloom: Sure.
Matthew Hulett: Yes. As we said on the earnings call, January and February, were trending actually to where we wanted to. We started to see the evening out of those comps. That was a really important metric for us. And I think we've been really transparent about net new customer growth has been an issue for the company for a while. It's something that we're going to continue to work on, and we're actually pretty optimistic that, that will improve. And unfortunately, March was just colder than anticipated. So we were anticipating returning customers to be more flat year-over-year than what you saw. And Bruce, do you want to add any other color to that?
Bruce Rosenbloom: I would say that I think the -- obviously, the surprise in March, when you look at the 2 Marches, season was really strong last year. So our reorder numbers were much higher. I would just say that you're comparing 2 totally different Marches between an early on-time season versus a delayed season. And so you have those 2 dichotomies there. But again, I think reorders were probably out of the 2, we were -- that was probably more affected from the delay in season than when we -- what we would expect it going into the March quarter.
Operator: [Operator Instructions]. And the next question comes from the line of David Maley with 1102 Partners.
David Maley: You mentioned that the Vetster is the first of many transactions. Should we expect transactions to be of a similar size? Or is it likely that there might be something that's much bigger down the road? And I guess, if so, would that be the deal that would lead you to eventually pare the dividend?
Matthew Hulett: Thanks, David, for your question. I think there's 2 parts to that, obviously. I'll take the first part and then I'll take the second part. The capital allocation side is we have a lot of cash, and the cash hasn't really been put to use. And so as we fill out those puzzle pieces that I mentioned on the call around care, around wellness, diet, medication, we think we're pretty good on medication and there's other areas where we really need to fill in. And what's driving that is really our customers really want to have more products. They want more basket from us. They want more services that are aligned around pet health. And that's driving really some of our thoughts around how to accelerate whether it's an investment, M&A, or an investment partnership that you saw in Vetster. So we're going to continue to look at those types of opportunities. Things that we discussed in earnings calls like insurance, certainly that leads to more of a partnership type of profile. But certainly, we're open to M&A as well. As asset prices start to settle down, as the economy starts to change, I think there could be some more buying opportunities there. But we're open to filling in those puzzle pieces using cash. And on the dividend side, we have a commitment to the dividend. One of the things that we're looking at as a management team that we discuss all the time as new customer growth starts to get figured out, and we have better calculus around that. We understand the types of recurring customer acquisition we can start driving. That's probably the time that we'd start discussing how fast we want to grow the company. But as you know, we've struggled with new customer growth. And so we've decided to support the dividend. And we've also decided to also not grow the company unprofitably. We are not deciding to take this business down to a profitable -- an unprofitable business, which a lot of e-commerce companies have decided to do. And I actually think that could be a problem as you start entering into some of these more difficult periods that we're starting to see now. So in short, we're going to support the dividend. We're certainly having conversations with the Board all the time. But we're actually excited about growing through investments through partnerships and M&A. And we generate a lot of cash. So there's an opportunity for us to do both. And so the good news about the pet health space is there's a lot of companies. It's a USD100 billion space. And there's a lot of companies that want to work with us. Like I said on the call, there's not many pet prescription companies, and a lot of folks want to work with us. And it gives us an opportunity to generate terms like you saw in the Vetster deal that are probably a little bit more unusual than you've seen somewhere else with the performance warrants. So that's a longwinded answer to, look, when we decide that we can really ramp new customer growth, we'll certainly discuss at the Board. Until then, there's a lot of opportunity for us to find inorganic or semi-organic growth through partnerships. I hope that answers your question. If not, I can keep going.
David Maley: Yes. No, that's good. That's good color. Really appreciate it.
Operator: There are no further questions at this time. I will now turn the presentation back to the host.
Matthew Hulett: Thank you, operator. As you just heard, the future of PetMeds is much broader than just a prescription e-commerce company. We are building our strategy out and working hard to transform into a broader e-commerce and subscription brand that reflects and leverages our status as the trusted pet health experts. I will continue to detail our progress and look forward to providing you with updates in the not-too-distant future. As always, thank you to all of our employees, customers, partners, suppliers, and investors for your continued confidence and support. Thank you for listening in. Operator, this ends the conference call.
Operator: That does conclude today's conference. We thank you for your participation and ask that you please disconnect your line.